Operator: Good morning. My name is Michel, and I will be your conference operator today. At this time I would like to welcome everyone to the Ritchie Bros. Auctioneers Q2 2015 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session [Operator Instructions] Thank you. I would now like to turn the call over to Jamie Kokoska. Please go ahead.
Jamie Kokoska: Thank you, Michel. Good morning, everyone, and thanks for joining us on our fiscal second quarter 2015 earnings conference call. Discussing Ritchie Bros. performance today are Ravi Saligram, Chief Executive Officer; and Sharon Driscoll, Chief Financial Officer and Rob McLeod, Chief Business Development Officer. Joining them for the Q&A session following the formal remarks will be Jim Barr, Group President and Randy Wall, President, Canada. The following discussion will include forward-looking statements as defined by SEC and Canadian rules and regulations. Comments that are not a statement of fact, including projections of future earnings, revenue, gross auction proceeds, and other items are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual, financial, and operating results to differ significantly from our forward-looking statements are detailed in our SEC and Canadian Securities filings, available on the SEC and SEDAR Web sites, as well as rbauction.com. Our definition of gross auction proceeds may differ from those used by other participants in our industry. It is not a measure of financial performance, liquidity, or revenue, and is not presented in our statement of operations. Our second quarter 2015 results were made available yesterday after market closed. We encourage you to review our earnings release, MD&A and financial statements, which are available on rbauction.com, as well as EDGAR and SEDAR. Presentations slides accompanying our commentary today, these slides can be viewed through the live or recorded webcast or downloaded from our Web sites. All figures discussed on today's call are in U.S. dollars unless otherwise indicated. While we may use million or billion dollar figures for brevity on today's call, all percent changes have been calculated using full and rounded figure. I'll now turn the call over to Ravi Saligram, Chief Executive Officer.
Ravi Saligram: Thank you, Jamie, and thanks everyone for joining us on our earnings call today. As you saw in our earnings release yesterday, the momentum we built during the first quarter continued into the second with strong revenue and earnings growth and importantly positive contributions from every one of our business units including EquipmentOne and RBFS. This has been an exciting quarter despite FX headwinds. We achieved a terrific revenue or rate of 12.32% and our record revenue quarter. We generated the highest EBIT margin in the last four years of 40.2% and the highest EBITDA margin of 47.1%. We have a record earnings quarter and we've fantastic cash flow with free operating, free cash flow up 91% versus prior year on a trading 12 month basis. We also completed some important leadership appointments during the quarter. As we welcome our new CFO Sharon Driscoll, who's on our call today. And welcome Terry Dolan our new President of U.S. and Latin America. We are also pleased to announce the appointment of Rob McLeod, Chief Business Development Officer and in funnel given our growth plans and sector penetration strategies. We now have a strong roster of highly experienced, senior line executives and the functional leadership required to effectively execute our strategy across all our geographies. I'll now take some time to walk through financial highlights for both the quarter and the first half of the year and discuss some strategic and operational updates. Sharon will give you an update on capital allocation with a focus on dividends. After which Rob will discuss our financial performance in more detail. During the second quarter, we achieved meaningful growth on many key performance metrics. First GAAP grew 3% compared to second quarter last year but this figure reflects a headwinds of our FX foreign exchange translation to U.S. dollars. More importantly, on an organic basis using the same exchange rates, the second quarter last year GAAP grew 11% over the prior year. Second revenue grew by 10% during the quarter in spite of these FX headwinds. On an organic basis revenue grew 19% compared to second quarter last year, yes, 19%. Operating profit grew 21% over year, year-over-year and 30% on an organic basis. Our operating free cash flow increased 91% compare to the same period last year and RONA improved nearly 500 basis points on a normalized basis due to reclassification of some debt. Every one of our business units and geographies contributed positively to this quarter's performance. I believe it is an indication of our commitment to execution, the strength of our multichannel platform and most importantly the efforts of our worldwide team. Let's go towards some details of our performance. Much of the GAAP growth we achieved in second quarter was related to a 15% increase in lot volume compare to the same quarter last year. Lot growth came from a variety of customer sectors but mainly from the heavy and light construction industries which grew 24% and 15% respectively. Customers from these two sectors provided nearly 40% of the incremental increase compared to second quarter last year. Equipment from companies in the oil and gas and mine industries did increase as well compared to second quarter year; however, neither of these industries were dominant in growing GAAP. As you can see from the chart on Slide 5, assets from the oil and gas sector increased by 69% or 1000 lots relative to second quarter last year. Lots from the mining sector grew a 113% but of a very low base providing just over 600 additional assets compared to last year. As you may have noticed the average GAAP per lot sold did decline marginally relative to Q2 last year. There are several variables influencing this metric. The vast majority of the decline was due to the FX impact on gross option proceeds, which diminished reported GAAP growth some of our geographies and had an impact on average GAAP per lot during the quarter. We estimate average lot value decreased by approximately 7% as a result of FX alone. In addition we did see some equipment price declines especially late in the quarter. This shouldn't come a surprise fairly one given recent commentary from dealers and rental companies while we're off the pricing peak that occurred in the first quarter of 2015, we consistently hear from bidders at our auctions. That equipment is selling from more than they had initially expected. We believe there maybe some overly pessimistic pricing expectations by some in our industry especially as it relate to equipment that can be moved from one sector such as oil and gas into another like construction. Crawler tractors would be a good example of that or bulldozers, right. So however pricing on equipments specific to the oil and gas sector is experiencing softness example would be like winch tractors. Ultimately pricing trends are asset and sector dependent with some categories performing better than others. Late models, small to mid size construction assets continue to perform well given the strong demand of equipments owing nonresidential construction activity especially in North America. As well the mix of what we sold during the quarter contributed to some of the average price decline as we saw 21% increase in small value loss, most of which we sell through our kind auction lots system. This correspondingly let to a shift in proportional low value and high value assets sold during the quarter. And finally we sold significantly more high value mining assets in second quarter last year including rock trucks and drilling equipment which made for a difficult average price but lot comparison. As many of you aware that ager machinery we sell is also an important factor in our mix and impact by GAAP performance. Consistent with our previous comments and consistent with our expectations, the age of equipment we're selling continuous to improve. The void of equipment production that occurred 4 to 6 years ago is now apparent in the 4 to 6 year old equipment being sold. So far in 2015, 3 to 5 year old equipment our traditional sweet spot has comprised 24% of GAAP which is up from 19% during 2014 when historical production declines impacted our business most. Now turning to revenue, we achieved an all time record for quarterly revenue generating a $155.5 million of revenue in the second quarter, a 10% increase from the same quarter last year. Our revenue rate for the quarter was 12.32% which was driven by stronger underwritten performance at many of our auctions. We estimate that about 40% of our increase in revenue was attributable to rate improvements with the remaining 60% which was attributable to an increase in auction volumes. As per last quarter changes in foreign exchange rates did have an impact on our quarter performance. On an organic basis using the same exchange rates as Q2 2014, revenue grew 19% from the year ago quarter. This growth was diminished by 9% resulting from our foreign exchange constellation mostly due to the decline of the Canadian dollar and euro. On a reported U.S. dollar basis revenue grew to 10%. As I mentioned earlier, the performance of our underwritten business contributed to the increase in our revenue rate this quarter. We believe the initiatives and focused we've had in improving the performance of this business since January is beginning to show results. In fact, during the first half of 2015, our underwritten revenue rate improved 225 basis points compared to the first half of 2014. It's an achievement; I'm very pleased with and do entirely to the efforts of our sales and valuation teams. On a regional basis, both the U.S. and Canada contributed to 41% of our revenue with Europe and other geographies generating approximately 18% in Q2 this year. As you may recall, our two largest options during the second quarter were held in Canada. On a local currency basis, revenue in both the U.S. and Canada grew 19% from the year ago quarter. Europe grew 7% and other regions primarily by Australia grew 17%. Earnings for the second quarter grew 20% from the year earlier to $46 million another quarterly record. As discussed rates and volume increases net to revenue growth this combined with store expense growth contributed to increase in the earnings. Moving to auction operation stand, there are few auctions to highlight from the second quarter. In April-May, we not only benefited from the record breaking Edmonton auction we discussed on our Q1 call but also from strong performance in Texas, while Europe remains a bit more challenged than other regions due to microeconomic factors, the April auction in Moerdijk, The Netherlands generated great results for both our customers and the company. We also had great auctions in Caorso, Italy and Ocana, Spain. In June one of the most active months on our auction calendar, we generated more than $560 million in gross auction proceeds, some key auctions in June include the Dubai auction we generated $33 million in GAAP. Our Denver auction which broke site records and two successful auctions in Australia which combined generated over $52 million Australian in GAAP. As well we had yet another auction at Edmonton, just a month and half, after the May -- massive May auction, where we sold nearly CAD100 million of assets. It's important to highlight that are Edmonton teams source over CAD310 million of assets over the course of just 45 days this quarter. That is phenomenal achievement that takes seamless organization from our sales, operations and marketing teams. And it reflects that talent have in that in region and our support teams in Vancouver. My hats off to them. Turning to EquipmentOne, we accomplished a very important milestone this quarter with EquipmentOne generating its first positive EBITDA contribution on a trailing 12 months basis. We feel reassured about the financial liability of this brand. Consequently, we feel confident in investing in this business to drive its long-term performance that point to second half you may see us investing in marketing, Web site improvements, sales and incentives et cetera, to scale the business and gain critical mass. Sales on EquipmentOne generated $31.7 million of gross transaction value during the second quarter, an increase of 7% compared to second quarter last year as well Web site traffic to the site grew 19% during the quarter based on average monthly users. As many of you know, when the process of training our U.S. sales team in regards to EquipmentOne value proposition and when it maybe best suited for customers, we've learned a lot from the initial pilot programs and incorporated what we've learned from the pilots into our training process. The rollout to the entire U.S. field is well under way. We have already completed training sessions with 19 of our 22 regional sales teams in the U.S. We have also made enhancements to the user experience on EquipmentOne during the second quarter. Aspects of the site design have been updated to ease navigation, we have also updated the terminology on the site to be more consistent with the terms that customers are used to in our online auction business. For example offers and now refer to as bids. These changes are based on direct feedback we've received from the EquipmentOne customer base and more in line with what they expect when doing business with Ritchie Bros. Furthering our better together multichannel value proposition, we're also integrating EquipmentOne consignments into the search experience on rbauction.com giving buyers a greater array of equipment for sales through Ritchie Bros. channels. Now while we don't often talk about it in earnings calls as it remains relatively small but growing and growing fast part of our business which is Ritchie Brothers Financial Services and this is having a tremendous year in fact second quarter earnings for Richie Brothers Financial Services were up nearly 45% compared to second quarter last year. Much of this can be attributed to higher business activity. In the first half of 2015, financial services generated a 51% increase in loan applications and achieved a 37% increase in funded volume compared to the first half of 2014. The RBFS team has also recently expanded their service offering with a launch of leading auctions to customers which we provide through our financial partners. And with that overview of our second quarter performance and operations, I will now turnover the call to Sharon Driscoll who joined us in July as Chief Financial Officer.
Sharon Driscoll: Thank you, Ravi, and good morning everyone. And I look forward to meeting many of you in person in the coming month. As I have not been able in my role for long, I am going to focus my remarks on our capital allocation priorities and dividend increase and Rob will comment in detail on our Q2 results. Our priorities for capital allocation remain unchanged with what the Company disclosed in January. As you recall our first priority is to grow our dividend in line with earnings. I'll speak to this momentarily. Our second capital allocation priority is to hold our fully diluted share count flat which the company is accomplishing through its share repurchase program initiated this past March. As Rob discussed in the first quarter, 1.9 million shares which totaled $48 million were repurchased and cancelled to offset our expected dilution from auctions during 2015, while we may need to make some adjustments as the year progresses. The bulk of this buyback was accomplished early in the year to provide the most impact. Our third capital allocation priority is investment in acquisition. As Ravi stated on our first quarter call, M&A remains a top priority for the firm and we expect capital will be allocated for transaction in the coming months and quarters. Only after all M&A opportunities are explored or completed will we reconsider the next two priorities of opportunistic share repurchases or paying down debt. On that last point we want to highlight the accounting treatments of long-term debt this quarter to ensure there is no confusion. $60 million of Canadian long-term debt was reclassified as a current borrowing in the second quarter due only to the provisions in lending contract and accounting requirement. We do not intend to pay down this debt. We expect to refinance this debt with another long-term loan utilizing our existing credit facility. As a reminder we routinely used cash in our balance sheet to pursue underwritten transactions, while this is not listed in our capital priorities our ability to use our strong cash balance for underwritten opportunities is something that differentiate Richie Brothers from our competition. As you saw in the yesterday's earnings release, we have increased our quarterly cash dividend by 14% or 2 pennies to $0.16. This is nearly doubled the dividend growth we announced in Q2 last year and reflective of our commitment to growing our dividend in line with earnings and achieving our payout ratio range of 55% to 60%. Using 12 months trailing adjusted earnings, a $0.16 dividend works out to be a 58% payout ratio at the high end of our target range. At this point, I'll turn the call over Rob to discuss our second quarter financial results in detail. I will look forward to discussing our financial results with your on future earnings call.
Rob McLeod: Thanks, Sharon, and good morning everyone. I'll discuss our second quarter performance in detail and briefly cover the results of the first half of 2015. Gross auction proceeds during the second quarter were $1.3 billion, a 3% increase from GAAP recorded in quarter two 2014. As with other line items GAAP faced foreign exchange headwinds on an organic basis using the same exchange rate this quarter to last year GAAP grew 11% from the year ago quarter. On a 12 month trailing basis ended June 30th Richie Brothers sold over $4.3 billion of assets on behalf of our customers. I am also please to tell you that in July the first month of our third quarter, GAAP was $268 million, a 15% increase compared to July 2014. On an organic basis using same exchange rates as quarter three last year, GAAP grew 25%. Our full monthly auction metrics will be posted on our Web site following this call. As Ravi discussed earlier our second quarter generated more revenue than any other quarter we've recorded which is due to combination of rates and volume increases compared to the second quarter of last year, we saw particularly strong revenue growth in the U.S. and Canada. However the translation of Canadian revenue into U.S. dollars for reporting purposes moderated the revenue growth from Canada. As you heard on last quarter's call, our April 28 to May 1st, Edmonton auction produced the most revenue of any auction we have ever held. The strong performance of our U.S. auction during the quarter also generated record revenue from our U.S. business, which achieved 19% revenue growth compared to the same quarter last year. The revenue rate for the second quarter of 2015 was 12.32%, 78 basis points higher than the year ago quarter. This rate was achieved through a consistently better performance from our underwritten business across most of our geographies. Operating income for the second quarter grew 21% from Q2 last year to $62.4 million, this equates to 40.2% operating income margin or up 370 basis point margin improvement compared to quarter two 2014. Net earnings during the quarter were $46.4 million an increase of 20% from the comparable period last year, diluted earnings per share were $0.43, 21% increase. I'd also note that we have a low tax rate in quarter two this year consistent with a low tax rate in second quarter last year. Earnings growth is largely attributable to the fact that our expenses grew far less than revenue during the quarter, revenue grew 10%, while our total operating expenses grew 3%. Total operating expenses include both SG&A and direct expenses, specifically direct expenses decreased 3% compared to the second quarter of last year while SG&A grew 5%, within SG&A expenses related to travel and admin as well as building the facilities both decline 10% and 1% respectively. The majority of expense growth this quarter was due to increases in certain components of employee compensation which grew 10%. 3.8% of the increase in employee comp expense was related to incentive compensation. The increase in this component is due to relatively low incentive comp in 2014 when we're not meeting our performance target. During the second quarter of 2015, we hit our key performance metrics which intern generated higher incentive compensation for our employees as per our incentive compensation plan. Second, 5.7% of the increase in employee compensation expense was attributable to share based comp expense, much of this was attributable to increase in the price or fair value of our share units which is driven by the performance of our stock during the quarter and our share performed particularly well during the second quarter. Next, there was an increase in the volume of auctions in share units, mostly related to the addition of new executives over the past year. And finally, the results of accelerated vesting of auctions in share units during the quarter related to previously announced executive departures. This expense increases due entirely of the timing and should not recur at this level in the future. The result of revenue growth and our disciplined expense management related to highest EBIT and EBITDA margin the company has produced in years. As you are aware, the second and fourth quarter are typically our largest quarters and generally produced our best margins given the operating leverage inherent in our business model but we wanted to highlight at quarter two 2015's EBIT or operating income margin was 40.2%, 370 basis points better than in quarter two last year. In the first half of 2015, our EBIT margin was 34% over a 500 basis points better than the first half of 2014. Our EBITDA margin during the second quarter was 47.1%. As you all aware Ritchie Brothers reports in the U.S. dollars that operates in multiple currencies and a translation effects of converting our results into U.S. dollars has muted our year-over-year reported growth. This is especially true for our business units that operate in the Canadian dollar and euro as both currencies have experienced significant decline against the U.S. dollars into mid 2014. As Slide 26 shows, on an organic basis, using the same exchange rates as quarter two of last year GAAP grew 11%, revenue grew 19%, expenses grew 12% and operating profit grew 30%. We believe these organic growth figures more accurately reflect the operational health of our business as they showcase how our business has performed absent these translational foreign exchange headwinds. Turning through to the results of the first half of 2015, the company generated $2.2 billion of GAAP at 6% increase compared to the first half of 2014. Revenue was $271 million up 13% increase and operating income was $92.1 million, up 33% increase. Earnings per share for the first half of 2015 were $0.65 also a 33% increase from the first half of 2014. Our results in the first half benefited from an improved revenue rate 12.22%, which is up from 11.53% in the same period last year, as well we saw significant in more business volume with a 15% increase in auction lots sold compared to first half of 2014. Our tax rate on a year-to-date basis increased to 26.5% as a result of increased taxable income and higher tax rate jurisdictions. I'll now review some key balance sheet in capital metrics for the 12 months ended June 30th. Operating free cash flow increased 91% compared to same period ended June 30th last year. This increase is attributable to more cash generated from increased operating activity as well as less capital spending. In fact CapEx intensity fell to 3.2%, a 369 basis point decrease from the year ago period, as a reminder CapEx intensity highlights the amount of net capital expenditures we've made in the last 12 months relative to our revenue. We will continue to make investments in our business that support our growth so CapEx intensity as low as this period maybe not be truly indicative of what we expect over the long-term. As we noted in our evergreen model, we're focused on achieving CapEx intensity equal to or less than 10%. RONA for the 12 months ended June 30th was 24.9%, an increase of 738 basis points. This includes the positive effect of the CAD60 million term loan that was reclassified from non-current to current borrowings. As Sharon noted, we intend to refinance this borrowing when it falls due in May 2016, excluding the effects of this re-class RONA for the 12 months ended June 30th would have been 22.5%, an increase of 495 basis points compared to same period last year. And with that financial overview, I'll now turn the call back over to Ravi for closing remarks.
Ravi Saligram: Thank you, Rob. We are clearly pleased with the performance of our company since announcing a new strategy in January. Our sales and management teams have focused on using underwritten contracts more effectively. Our entire employee base has come a long way in doing EquipmentOne as an important on tentative model to RB auctions and everyone is rallying behind our growth plans. Richie Brothers has historically been a growth company and the success we've had in the first half of the year has reignited the enthusiasm, ambition and entrepreneurial spirit that is the hallmark of Richie Brother's culture. In the first half of 2015, GAAP grew 6%, revenue grew 13%, and operating profit and diluted EPS both grew 33%. These are figures we're proud of, but we believe the more revealing story about the strength of our business license our organic growth numbers. On a constant currency basis GAAP grew in the first half 14% during the first half of 2015. Revenue grew 21% and operating profit grew a whopping 41%, yes, 41%. We acknowledged the dislocation of our oil and gas sector has provided ample opportunity to some loosen equipment supply from that industry, but it is not well it's been the key driver of our recent success. As we stated before, assets from the construction sector and transportation continue to provide the majority of volume growth and increase of these assets is due entirely to the efforts of our sales teams, the magic we create for our customers for auction based for our auctioneers and operations team the reach we drive through marketing and finally the value we provide to our customers be their buyers or sellers through our entire system. Let me conclude by saying how proud I am of the entire Richie Brothers team for delivering exceptionally strong results in the first half. In particular, I'd like to thank our U.S. team for an incredible 23% revenue growth in the first half and delivering an all time record in first half revenues. The strong performance in the U.S. helped offset currency related impact in Canada and Europe. As we turn to the second half, we're up to a solid start in July with the 15% increase in GAAP compared to 2014 excluding movement and timing of auctions that increase would have been 7%. And August is off to a descent start and we had a great sell in Denver yesterday. And with that, we'd like to welcome questions from analysts and institutional investors. Given the level of participation on today's call, we request that you please limit yourself to two questions to provide time for others on today's call, and joining me for the Q&A are Jim Barr, Rob and Sharon obviously, Randy Wall, and Terry Dolan our President of U.S. and LATAM. Operator?
Operator: [Operator Instructions] Your first question comes from Nate Brochmann from William Blair. Your line is open.
Nate Brochmann: I am going to talk about a couple of things, one, obviously good steady performance at this point you have the management team it sounds like in place where you wanted and obviously we invigorated the sales a little bit, where do we strand in terms of your view point Ravi of hiring some channel experts to go after some of those underserved markets like oil and gas or agriculture and what not in terms where we stand with the progress of getting after some of those end markets.
Ravi Saligram: Yes, great question Nate. I think that's part of our strategic plan and that's indeed what each of our regional Presidents is doing and in Rob's new role, we're going to put global sector specialist to transfer best practices. So, we already have one of those David Hobbs, he's come up through that. So, we're going to keep expanding that where Terry is looking at strengthening the whole agricultural side in the U.S. which we think is tremendous opportunity. As you know, Terry has background in agriculture, so I think he bring some great perspectives there. We already have an agricultural team in the U.S. in the central region with McVicker, that we're going continue to build out. So, this is I think, once we got the fundamental right this is our big next opportunity Nate, and so over the course of the next 12 months lot of focus on this.
Nate Brochmann: And then my second question is -- and it might be too early to answer this, but now we're two quarters into this in terms of seeing a higher auction revenue rate. And again I appreciate that it might be too early to call, little less volatility there, but are you more confident today than you're six months ago with the efforts you made that that might be a little bit more sustainable in terms of already having less volatility or do we still have a little bit more to go before making that call?
Ravi Saligram: So, Nate what people do when they talk about quarters, first quarter was fluid, second quarter already we get lucky. Look I think, kidding aside, our teams have really taken the at risk business and the volatility very seriously, we put good controls in place, I've not seen a better working collaboration between our valuation teams and our sales teams. So I think we're putting all the building blocks in place. And some of our sales people have even started kidding me about our ARR at risk rate and they are calling it, the [Aha Ravi Rates] so, clearly this is getting now -- but I think, look I'm very pleased with our performance. I still feel comfortable sort keep our internal modeling on the 11 to 12 that we put out there. I'd like to continue to drive this execution and right now in the marketplace, there is a lot of different types of assets. So, I'm not yet ready to just say declare victory, this is -- this things not going to be a sprint it's a marathon.
Operator: Your next question comes from Ben Cherniavsky from Raymond James. Your line is now open.
Ben Cherniavsky: I had a couple of questions in mind, one is just about the Equipment demographics and it's -- this is something that Peter and the team started to talk about as you know, Ravi, before you got there, I guess maybe two years ago now, two and half years ago, when the GAAP was little bit slower and they said look we've got, if you go back to 2010, there was least production cuts and now you're working way through that and you're seeing more favorable demographics production ramped in '11 and '12, what does that mean a couple of years from now, when you consider that manufacturers are once again reducing their capacity and is there anything you can do, anything that you have learned from that cycle that would prepare you for another inevitable round of those challenges in a couple of years, would you think those challenges are inevitable?
Ravi Saligram: Yes, Rob, go ahead.
Rob McLeod: Great question, Ben and I think you have to anticipate that those challenges are inevitable because that those productions level will have in flow for sure and certainly on the leasing calls from dealers in Canada, talking about the reduced sales in to the Alberta market and so that on a micro cause but if you will in terms of a macro affect that we saw in 2010. So, yes we do have to anticipate it and I think the way to tackle it which we began years ago but whether we're really focused on it, is it diversity of sectors. And so having that focused on construction along with that focus on transportation, agriculture, oil and gas will mitigate that and kind of -- sector model of our geographic diversity. And so I think having had diversity will help with those ebbs and flows of in particular construction manufacturing.
Ravi Saligram: So, one is sector diversity, which Rob, pointed out and that's clearly a very strong element of tackling the spend also the two others which is as we look at in totally how do you reignite growth, I think channel diversity to become a multichannel company is a very critical factor, so that's why a lot of emphasis on the E-One so that E-One gives those who are concerned about controlling price there you have that as an option, we're also in the process of launching and we're piloting now rates work, a pilot 3D brand and so that very much provides yet another channel for us. So becoming a multichannel business helps and then finally the services side which I already mentioned RBFS and as we're scaling that I think that can be a tremendous way, because I think in totally we look at that as how do you drive revenues and we've got a look at diversity of sectors, channels, and services.
Ben Cherniavsky: So you basically hope that any inevitable cyclical challenges you can offset with strategic initiatives strategic growth and penetration?
Ravi Saligram: Yes, I think you've got us as Rob said, look we can't control what happens on the new equipment side and there will be ebbs and flows and I think what we've got to be doing as acknowledging that reality and being proactive and saying, how do we grow the business despite that. And then of course last one is also geographic, which over time you have to see cycles in different parts of the world and that's another piece for us to look at.
Ben Cherniavsky: Second one if I may, the operating leverage obviously you've highlighted it in your commentary and deserve to credit for that. But there is two way to think about the operating leverage at least the way I look at your cost over your revenue - sorry, if you look at the sort of the EBIT to your revenue versus to your GAAP and if you look at -- if you look at it relative to GAAP because your revenue is going to be a function of how you perform on your underwritten business which I really see as doing more with the same assets obviously being more productivity at how you underwrite. But I guess where I am going is the SG&A line that if you look at compared to GAAP it was actually and you just for currency actually increased faster than GAAP did, and so the concept of just driving more equipment volume or more transactions more iron over the ramp with the same cost base I think has been a key issue for investors over time because I think there is limits to how much you can drive your underwritten business to fuel the revenue growth. So is there a more work to do on that front or are you satisfied with how the SG&A performed and if you look at leverage from that perspective would have any comments on that?
Ravi Saligram: Yes, Ben, look I think we've talked about this before. My examination of the company is with the complexities of the amount of volume we sell. There are places we have clearly done a good job investing it, investing in sales force et cetera, but we've underinvested in our infrastructure, support staffs et cetera. And when I look at our overall SG&A, there is not a lot of low hanging fruit to say let's take a whack at it it's compounded by the fact we've got these legacy systems that require a lot manual intervention. So at this stage for me and we're going a look down the road at certain structural things from what we can do to make that SG&A more efficient. My first priority right now is to get that revenue growth line going and getting growth back and so once we get that and our commitment has been we'll grow SG&A lower than revenue growth, we did not talk about in our evergreen model of our GAAP growth. I understand where you're coming from but at this stage my focus on priority is really getting that revenue line because I cannot hack my way through it and save our way to prosperity because that is not the model this company is built on and if we attempt it, we'll kill the golden goose. And that I don't know if you take that way a thing that I've not respectful of the SG&A issue, but I think it has to -- our priority let's get the revenue growing. And if we need to tackle SG&A we have to do on a more structural basis and it will take time.
Ben Cherniavsky: But at some point where the business model and the power of it should kick in is where more equipment just starts to fall into the yard and onto the Web sites without the necessary increase in SG&A to do that, there we not sort of the network effect and then what in theories then sort of the certainly feel of a business model which in practice we haven't really seen happen?
Rob McLeod: Ben, I'll just make quick comment as well, one we highlighted here in the call the incentive comp increases in SG&A which are -- I would argue more highly correlated to revenue than to GAAP and while revenue and share price which is related to revenue and earnings growth and so, I would take that part of it out when maybe looking at relative to GAAP.
Operator: Your next question comes from Steve Volkmann from Jefferies. Your line is now open.
Steve Volkmann: I'm wondering, if you can dig down a little bit on the underwritten business, I'm curious if you've had to make any sort of changes there to get the performance to be improved and I guess, I'm thinking about are you focused on different types of equipment in the underwritten business or different geographies or is it costing you a little bit more capital to underwrite the good stuff I guess as it were or maybe just sort of any color and how you actually changed your approach that will be great.
Ravi Saligram: Sure, Steve, let me address it first then Rob can add some color. So the first thing was on really creating strong awareness, about the importance of this and that we've got to reduce the volatility and that we don't use underwritten business as a way just to change GAAP and market share that really it has to be sound and I think I have said it in the past. We had not my term but what our teams called dumb deals where going in you know you are going to lose money and then after you said, hey, we should never have done that -- why did we do it in the first place. So, I think we've great awareness of that quite a bit and demonstrated we've done a lot of best practice transfer, every opportunity we have in our sales meetings, our valuation teams are being very proactive and we've given them their big more equal partners in this, so, we have a very good process now in place and the second place was where in smaller deals and we still have a long way to go on that mind you but on smaller deals we were not providing the scrutiny as much as we should have in the past. So now there is lot more scrutiny and ironically, we tend to make some times our many times higher margins on our larger deals that on our smaller ones. And so I think it is just being more judicious and finally it is, what is the real purpose of the underwritten deal? It's either when we've got a wonderful fleet of equipment that the equipment owner has concerns or as a one time, it's a first time into the auction side and we provide them reassurance and peace of mind or it is fleet of equipment which is very nice equipment that act as a magnet to fill this out. So, we're reinforcing that as well, that this is a strategic weapon and so I think, a lot of that is training and we'll continue to do it, it's going to be a long process but I'm very bullish about our underwritten business and marching orders to the team is be aggressive but we use good judgment and we've got good controls in place. Rob, anything do you want to add?
Rob McLeod: Yes, just in addition to Ravi's comment, in general but more eyeballs on the deal structure but also again using that deal structure and our strategic use of our capital in that and so if it embellishes our ability to get that package of equipment by presenting a guarantee deal or inventory deal an inventory deal where we're putting our capital up front before the auction, we will do that but again more eyeballs on it, more focus on that is strategic tool that we have in our tool box is to apply that capital and there is a cost to using that capital. So, if it gets us the deal we'll do it all day long but we want to make sure we're doing it strategically.
Ravi Saligram: Steve, one last comment you asked about the nature of the equipment, definitely that comes into play, depends from various sectors are, so as we're getting more and more expertise how we now look at a transportation efforts deal, is quite different from how we might have looked at year and half because we're looking at we're becoming a lot more knowledgeable about that industry or the risk factor of particular sectors like oil and gas, right now, we're despising softness. We will be very conservative when we do an after deal compared to construction like assets. So, we're applying various sort of factors to this, so that -- it is not just an art but actually a science as well.
Steve Volkmann: And then maybe I can just throw three real quick modeling questions that the outlook for the tax rate in the second half is financial services actually generating in the positive earnings at this point and then I think, maybe as Ravi said, the increased equipment once spending in the second half and you order magnitude.
Ravi Saligram: I'll do the RBFS one very quickly.
Rob McLeod: Yes, I think I have also mentioned that -- growth rate 45%.
Ravi Saligram: So, yes, it's actually making money and one day it will be a very material part of our business.
Rob McLeod: Steve your questions on that tax rate, quarter two is relatively low the year-to-date tax rate 26%, 27% is probably on the slightly low end of what we'd expect for a full year. And then order of magnitude for further investment of EquipmentOne, I don't think that will be a material number, but material number overall for Richie Brothers but important amount of money for EquipmentOne just because of the relatively small operation right now.
Ravi Saligram: As a big on the EquipmentOne Steve we got to scale it and we're now, I think we've proven that the model works for us, and now we really want to very excited about it and as we consigned get our teams to consign equipment, we also need to make sure we market to our buyers to stop getting the whole thing to go. On the tax rate one of the quick mention part of the issue process, the more we sell in the U.S. increases the tax rate, so keep that in mind as well.
Rob McLeod: Michelle, we probably have time for two more questions.
Operator: Your next question then comes from Sara O'Brien from RBC Capital Markets. Your line is open.
Sara O'Brien: Competitive landscape for commission rate if we talk -- if we peel out the at risk business and given the volumes in certain regions and perhaps the slowdown in certain oil and gas regions, how are those rates trending?
Ravi Saligram: Sara, we may have missed your first part, what you've said, so are you talking -- which rates are you talking about, the at risk or?
Sara O'Brien: Sorry the competitive landscape for the commission rates so [technical difficulty] we axe out the at risk business or we can readjust that separately, but definitely the underlying business at auction what the trend in those rates?
Ravi Saligram: It has been steady and we're very proud. I think in fact our straight commission business is growing and we're very-very pleased with the performance of our straight commission because that's the core of our business and it's doing extremely well.
Sara O'Brien: And then if you talk about the at-risk business, is it getting more competitive in the oil patch for those types of deal?
Ravi Saligram: I think it's the other way around Sara. We are very judicious about what we take because there is striking softens there, there is a lot of people who want us to take equipment we're the ones who are being very cautious because compared -- we're very fine with oil and gas equipment that can be refocused into the construction we have bulldozers et cetera but very fewer ones like fat tanks et cetera. We've got to be really careful, so the team knows that we got to be ultra cautious on the at risk side there so we are -- so there is not dirt for us to do that we're just being smart about it.
Rob McLeod: As our competitors.
Sara O'Brien: And then maybe just on acquisitions mentioned as a priority as early as the next month, how large are you comfortable…..
Ravi Saligram: We didn’t' say as of next month, we just said it's a high priority. We didn't talk about any month I don't think. So forgive me, I just want to make sure we were not misinterpreted.
Sara O'Brien: So acquisition growth a priority for the Company, how large is, is Richie willing to go at this point just I know there are segments you want to get more active in, but I wondered if we could see Richie take a bolder move at stage of the game?
Rob McLeod: Go ahead, Ravi.
Ravi Saligram: We don’t comment on specific acquisitions per-se Sara, but a look -- I said we'll look at all three things bolt-ons and things that fill gaps for us for sector expertise and we're also at this big needle movers out there that will improve our trajectory. We certainly have the balance sheet and there is this has been entrepreneurial company, there is no dirt of being bold, but always bold where judiciousness and the most important thing is does it drive shareholder value will it be accretive, is it strategic rather than just sort of saying hey let's do acquisitions.
Rob McLeod: Sole for gross savings. One more caller please.
Operator: So your final question will come from Bert Powell from BMO Capital Markets. Your line is open.
Bert Powell: Just a question for Jim on E-One, Jim you've done your pilots or it sounds like you've done them, and we've talked in the past about getting more products in the shelves in that offering, how are you thinking today about the fee structure the commission structure in that?
Jim Barr: Sure, I mean this year is really about reintegrating and accelerating in E-One and getting it to be part of forming in the field and that’s going to drive a lot of our consignments. We're looking and testing a variety of different fee structures. You can what our standard rate is on their words it is bio-premium focus, but we're testing just like you would in any industry where you're trying to get growth you're testing various price elasticity both buyer and seller and we're looking at that very strongly and we're just looking for whatever combinations going to drive the results of the best and got several tests going on as we do that and we try different structures then on many of our different deals.
Ravi Saligram: So, I think, I'll add to that which is for us a critical parties through start filling the shelf more rapidly. We have made some progress but I'd like to see more acceleration. Now that because what we want to do in a orderly manner, regressively we saw loss two and half years due to the Oregon rejection issues, the good news is today, I think we've come a long way and that is sort of thing as a past. So, now we're making up for lost time and we're also doing things but with maybe interesting like -- if we look at [FS] deal and let's say, some of that we're finding that is not doing so well, certain equipment, we're now saying hey let's put it on E-One, and that thinking was completely not there in the past where we actually done some of that now and so variety of things because of the whole concept here of E-One is better together, it's really putting the power to Ritchie Brothers sales force and relationships because EquipmentOne is not a dot com B2C model, it is very much of B2B Internet model where we do the first push the product on through our sales force then pull it. So, I think we're making progress in that regard. Anything else?
Operator: At this point I see that he has dropped from the question queue.
Ravi Saligram: We can probably get one more question, Michele, before we end.
Operator: Okay, then I'll pick the next question from Scott Schneeberger from Oppenheimer. Your line is now open.
Scott Schneeberger: I'm just curious Ravi or anyone, big fan of your Slide 5, and the breakout of the incremental watch for customer sector. Oil and gas very strong volume in first quarter and second quarter but then again as you pointed out heavy construction very strong as well. Just to your comment on what you would expect in the back half, what inning are we in the volume on oil and gas and how strong do you see non-residential construction, supporting that growth of heavy construction in the back half for this year.
Ravi Saligram: Sure, Scott. I think, on my oil and gas, while we have seen spots, it's on a very low base. Oil and gas, specific assets, very clear but that specific is actually a very small percent of oil and gas. I think less than 5 if I'm not mistaken. So, and it is -- it sort of -- it's an area where we are building our expertise, right now, we have lot more deals then the thing we're really looking at it say can we make money on this. So, to be the focus continues to the on construction, transportation ag et cetera. To your other question on construction in the second half right now, we're not seeing anything that makes us bearish on that. Rob, have you seen anything?
Rob McLeod: No, it appears to be nice activity from our teams in the U.S. for sure.
Ravi Saligram: Randy or Terry, anything on the construction side that you want to comment on the oil and gas price?
Randy Wall: This is Randy, on the oil and gas side, as Ravi said, it's not just specific assets that are usable only in that sector that have been loosening in supply and we're somewhere in the past to middle, I'd think as a volume curve there and on the construction side, nothing really troubling that we see out there, transportation has been very strong, forestry has been quite notably good and we've had good great success in ag as well. So, it's the multi-sector diversity, I think that's really helping.
Terry Dolan: And this is Terry Dolan, I would probably concur with Randy, having been on now board about 60 days. I'd say it's pretty similar time than U.S. and Latin America business.
Scott Schneeberger: I want to appreciate all the answers. I feel spoiled now if I could speak one more and Ravi for you. The power transaction underwritten business receiving more scrutiny, it seems like that's really benefiting is that the lion share or is there just so much more to come with opportunity that you have in that area?
Ravi Saligram: Sure, Scott. I think the small items -- on my head, that's not the case. It's really -- we're going to continue to straight works like Canada we do an amazing job. And I want the Canadian teams and they do extremely well even on agriculture. We continue to push that and they just get consistently higher rates across different fleet sizes. I think we've got, we need to continue to improve in the U.S. In the U.S. it's starting some regions are very, very good, some regions are really not good and our regional heads know, where they are not good because they get lot of love letters from me and it's an issue of transferring best practices getting better, changing attitudes about hey, it's not changing gap, this is shareholder dollars use it judiciously. So, I think it's this is going to be a marathon and I feel very good about, but this is going to be one of the single biggest competitor advantages for Richie Brothers over the next several years.
Ravi Saligram: Thank you very much everybody. I appreciate your support and look ahead. Thank you.
Operator: Thank you everyone. This concludes today's conference call. You may now disconnect.